Operator: Good afternoon. My name is [Michael] and I will be your conference operator today. Welcome to Franklin Resources Earnings Conference Call for the quarter ending September 30, 2009. Please note that the financial results to be discussed in this conference call are preliminary. Statements made in this conference call regarding Franklin Resources Incorporated, which are not historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of known and unknown risks, uncertainties and other important factors that could cause actual results to differ materially from any future results expressed or implied by such forward-looking statements. These and other risks, uncertainties, and other important factors are described in more detail in Franklin’s recent filings with the Securities and Exchange Commission, including in the Risk Factors and MD&A sections of Franklin’s most recent Form 10-K and 10-Q filings. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions) Thank you Mr. Greg Johnson CEO you may begin.
Gregory E. Johnson: Thank you, good afternoon everyone and thanks for joining us for this Q&A session. I am Greg Johnson the CEO along with Ken Lewis, our CFO. Hopefully the commentary we made available this morning answered most of your questions on the results we reported today. So just to quickly recap the highlights, we ended our fiscal year on our high note with strong relative investment performance, one of the best quarters ever for net new flows and continued improvement on our operating results. I would now like to open it up for your questions.
Operator: (Operator Instructions) Your first comes from the line of William Katz with Buckingham Research.
William Katz – Buckingham Research: Okay. Thank you. And good afternoon. I would say a couple of questions around may be the margin outlook, and first one is I guess you are sort of accelerating some advertising on the back of very strong performance and what appears to be a reengaging investor globally, just sort of curious how we should think about a) if markets were to potentially pullback, how you think of that strategically? And then secondly could you give me a sense of what products you are most focused on and I do have a follow-up.
Gregory E. Johnson: Okay. Thanks Bill. I guess first I’d remind everyone that there is other thing other than advertising in that line and so this promotional expenses and distribution expenses that go up with both sales and with assets under management so those will tend to elevate when the assets come up and sales come up. In terms of the specific advertising, we have been - and I’d say promotional too, expenses on the product side, one of the recent campaigns that we’ve launched is an equity campaigns so you'll see that some expenses related to promotional activities related to the equity campaign, and then just the general advertising I think you’ve seen on TV that were being pretty opportunistic. Not only is our good message, but there’s been some good spots to buy at reasonable prices and get some good coverage.
William Katz – Buckingham Research: I guess the bigger picture question is, if I calculate right may be I haven’t but looks like you have almost a 49% manufacturing margin, if you net out the impact of distribution from the expenses and just from the revenues. So if you think about to sort of strategic way the company is right now, is a little bit of sort of pulling the incremental margin down here a little bit to reinvent the business or can you deliver both margin improvement and incremental growth at the same time?
Kenneth A. Lewis: Well, it’s quite the balancing act to do that. So there is two things there, one is revenue is unpredictable. So you don’t know how quicker or slow revenue will increase or decrease and that obviously has a big impact on margin. But in general in terms of spending, I think the message is that we are committed to invest in the business, not only on advertising but in all the expense categories. But we are going to be very cautious in doing that or thoughtful in doing that. The message we put in the prepared remarks is we will be thoughtful as well as increase the expense base as we are decreasing it. But certainly we will be investing in the business. It's just a matter of us feeling comfortable that the market improvement is sustainable and then we will kind of look at each opportunity to invest on it’s own merits and decide at that [point].
William Katz – Buckingham Research: Okay. Thank you.
Operator: Your next question comes from the line of Robert Lee with KBW.
Robert Lee – Keefe, Bruyette & Woods, Inc.: Thanks. Good afternoon. Couple of quick questions. Can you maybe give us an idea of as you look the kind of around the world, you did talked a little bit about on your pre-recorded call, unanimous flows and certainly there are some institutional flows there, but maybe talk a little bit about how kind of the - in different markets kind of the retail investors, or are you seeing more risk taking in lot of the markets or people starting to come awake and then I have a couple of other questions
Gregory E. Johnson: Well I think just in general terms looking at the flows and last quarter we talked about how in Asia and certainly outside the U.S. that there are a little more conditioned to be up and down. So we expect it to see a bit more of a rebound there and that has been the case whether they are got hit harder on a net flow basis versus the U.S.. The turnaround has been a little bit quicker there with respect to equity flows and really haven’t seen the U.S. investor really moving back into equities in any meaningful way you’ve seen, redemptions stabilize and lot of cases. But actually even have increased in some cases in the industry over the last quarter. But if you look at some of our debt selling funds, the Asia growth fund which is sold offshore, the BRIC Fund, have all stepped back very quickly from having net out flows to very strong inflows. So I think that in terms of just generalizing overall trend, it has been the case where the Asian investor has come back a bit faster than what we are seeing in the U.S.
Robert Lee – Keefe, Bruyette & Woods, Inc.: And maybe a follow-up on the institutional side. In your prerecorded call you talked about outside the U.S. missing or maybe in general some pretty good demand for some of your global fixed-income and other strategies, in a way it almost seems a little counter to what some of your competitors have talked about with institutional decision making getting kind of elongated, it’s a lack of better way of putting it. Are you seeing that as much or are you seeing that you have got some good flows but really compared to the RFP activity out there. There is kind of a lot behind if that’s not where people aren’t pulling the trigger?
Gregory E. Johnson: I think that’s still true. I mean it does seem to be kind of a mixed, when we talk to our sales people out there. The good news is that if there is any searches, we’re in the right place with the product mix and global bond and global equities. But really overall searches are still slow. But we feel like and looking at the pipeline or looking at the winds, there has been a lot of good winds on the institutional side, nothing really big except the one account that we talked about, the Sovereign Wealth Fund that had 900 million go back in and then another China fund that funded during the quarter. So I still think things are a little bit tentative on that side but the search is that we're seeing or in our space and we continue to see good or de-activity there.
Robert Lee – Keefe, Bruyette & Woods, Inc.: Great. I just have two quick modelling questions actually for Ken. The tax rate I mean the 30% for the full year I mean should we be thinking of that kind of a reasonable run rate heading into the next fiscal year? And then I am just curious with the size of kind of the deferred the B-share assets that you took on balance sheet in the quarter that kind of bumped up the deferred sales commission, amortization.
Kenneth A. Lewis: Okay. All right thanks Rob. The tax rate of 30%, at this point where it stands now that’s probably as good a number as any to look at going forward. It’s obviously, it downs at pretty high end, the beginning part of the year and all of that was due to earnings mix. And so now with pullbacks in the markets and the current asset mix that’s kind of our best guess for a reasonable tax rate. The amortization of deferred sales commissions, there was a one-time charge and I would like to try to point out. Having said that we did have increase sales we’ve had increased C share sales and so that will have the effect of elevating the deferred commission, amortization in future periods, which I think is a trend. But also this transaction overall while not affecting profitability, it will have the effect of inflating that deferred commission asset line in the first couple of quarters and then deflating in the second couple of quarters in 2010. So overall, it’s kind of a nothing but you'll see probably some noise in that line in the short-term.
Robert Lee – Keefe, Bruyette & Woods, Inc.: Okay, great. Thank you.
Operator: Your next question comes from the line of Jeff Hopson with Stifel Nicolaus.
Jeffrey Hopson – Stifel Nicolaus: Okay thanks. Greg you mentioned the rebound in the equity sales offshore but we’re still lower in positive territory but not meaningfully. So any thoughts on, I guess October trends have seemed a little more a positive, any thoughts on that trend moving into more positive fashion? And then I think you’ve talked in the past about using technology to offset maybe hiring people using internal wholesalers et cetera. So give me some thoughts, please, in terms of how much you can offset on the technology side versus ramping up headcount?
Gregory E. Johnson: Okay. I think the equity question is really – do the markets hold in here, do we have a set back. I think if the markets hold in, it just takes time to get the retail numbers back and so I think that trend is definitely, it continues to move in a positive direction. I think part of it – I was thinking about and it kind of reminds me of certain markets like Japan that had such a difficult period every time the market snapback or with strong equities actually picked up in redemptions and that maybe a bit of a psychological effect of the investor that when they are getting x percent back redeeming and maybe that accounts for some of the activity of increased redemptions in some of the U.S. equity funds over the last quarter. But I think the trend is still the right way, it just takes a little bit of time, we knew it will take some time. And I would think, the net flows would continue to approve as long as the market, and obviously the one year numbers are getting a lot better than they were. So every month helps that. So the technology side, we talked about our focus on – and it’s really just a numbers for us in the coverage and we have a 130,000 active advisors out there and we can’t, the traditional model we are not going to be able to leap with that number of opportunities out there. So we’ve expanded in along with our website, the use of internals and more of an outbound capability and that’s been very effective. We’ve been testing it, we are going to continue to expand it. And I don’t think it’s going to necessarily mean or going to reduce or cut any costs I think it’s fairly incremental and hopefully it more than page for itself with more penetration and more sales, but that really has been a major initiative for the company in the last year. And I think today we call it a pretty successful initiative and one that we are going to continue to expand.
Jeffrey Hopson – Stifel Nicolaus: Okay. And if I could follow-up on fixed-income, how much of the global would you say is local market, local product versus kind of this Global Bond Franchise that you built?
Gregory E. Johnson: It’s primarily the Global Bond Franchise. You know India has some local markets there, but outside of that it’s really the Global Bond, it’s a Lion share that’s in that category.
Jeffrey Hopson – Stifel Nicolaus: Okay great. Thanks
Operator: Your next question comes from the line of Mike Carrier with Deutsche Bank.
Michael Carrier – Deutsche Bank: Thanks guys. Just a quick question on the cash, your cash investments continues to build, you guys continue to do – the buybacks in line with last quarter. I guess from an industry standpoint, when you looking at your options and sitting in cash is not that great and getting where yields are but there is still lot of activity going around in the industry on the M&A front. So some of the big properties have been taken good or bad but just when you guys kind of view the landscape and what you are looking for, and then your other options in terms of buybacks, special dividends, just an update on there as we, as the cash continues to build?
Kenneth A. Lewis: Well this is Ken I will take the first crack at the cash question from the perspective of buybacks. Certainly we have been active in the share repurchase throughout the whole year, which I do think sets us apart from some of our competition and what’s true that the payout ratio is probably below our long-term average for the year. And I think part of that or large part of that is due to the fact that earnings can be accelerated more quickly than we did on our share repurchase, in terms of dollars of course, that increased as well. So we are still committed, there is pretty much no change in our philosophy going forward as we’ve done in the past on that side. And then I guess on the M&A front maybe Greg you may want to add few words there?
Gregory E. Johnson: Well I think we have seen some large deals over the last year and I don’t feel that the opportunity is any less or you can maybe argue that the opportunity for a large deal is probably less than it has been, but I think the opportunities to do other deals. And especially just in our industry, no matter what the environment there is going to be deals done for generational transfer and we are still very active and we’ve always said that scale is not really the goal here and we have scale and we are in just about every channel. So we don’t think an acquisition provides us a whole lot of new opportunities for distribution. So we are very careful and we continue to be careful. And as far as what that means, we’re going to be opportunistic and be careful about what we acquire by - I think the fact that it is the nature of our business, there is always going to be opportunities to use that balance sheet.
Michael Carrier – Deutsche Bank: Okay. And then just one quick number follow-up. In the investment management line, was there any significant performance actually this quarter?
Gregory E. Johnson: No, not really. May be somewhere in the near $2 million to $5 million maybe.
Michael Carrier – Deutsche Bank: Okay. Thanks a lot.
Operator: Your next question comes from the line of Roger Freeman with Barclays Capital.
Roger Freeman – Barclays Capital: Hi, good evening. I guess first is on the expense front again. How much of the increase across, let’s say the non-comp items excluding underwriting distribution was really bringing back spending initiatives or plans that were cut earlier in the year?
Gregory E. Johnson: I’m struck how to answer the term how many, but I will just generally tell you some trends…
Roger Freeman – Barclays Capital: Just dollar wise?
Gregory E. Johnson: There is a part of it is – we talked about spending in advertising and promotion and we talked about investing back in the systems. There is a little bit of feeling that, it’s time to do that – that sort of spend but then also part of it is seasonal. And it’s hard to give you a percentage of how much is seasonal versus reinvesting. But I will make the general comment and it’s the same as it was last quarter. There is certainly discussions around the spending initiatives that we’re having at the senior management level. And the emphasis there is which initiatives have the biggest bang for the buck and so we are going through that analysis. And at this point we really haven’t made any commitments to increase spending at any significant level. No real commitments to increase headcount. So that’s where we are now, we are waiting to see as Greg mentioned earlier how sustainable, where the market hold and how sustainable this recent the market is.
Roger Freeman – Barclays Capital:
Gregory E. Johnson: No I don’t know that, we talked about this in the past. I don’t know that that’s a bounding guide for us just as on the low side it’s not something, the operating margin is not something that we focus on the short-term.
Roger Freeman – Barclays Capital: Right.
Gregory E. Johnson: Obviously, if you look back in our history there is a band that we stay within. So it’s just another metric and the point of metric but and another metric that we use as inputs when we are making decision to spend.
Roger Freeman – Barclays Capital: Okay, great. And then I guess on the flow slide, looking at the global bond complex, global international taxable fixed income you said that I think in your prepared remarks right the $1.2 billion of inflows there was sovereign wealth, is the rest of that a pretty broad based distribution of flows?
Gregory E. Johnson: It is 3.7 in the United States and I think somewhere around just under 2 or actually 1.6 into the C-cap Global Bond Fund net. And those two are sold obviously a very diversified base to the retail advisers.
Roger Freeman – Barclays Capital: Okay. And then, I think just looking at flows sort for the internationally, how impactful, how much do you think is dollar weakness related and factoring into investor decisions to direct capital into international investments?
Gregory E. Johnson: Well, it’s certainly has helped, I mean obviously that has improved the relative performance on Templeton Funds along with obviously the stock-picking. And the same with Global Bonds I think you do have a lot of people with here in the U.S. that do not have a lot of confidence in the dollar and may be you want to get some exposure into asset class that’s not correlated with the overall market and I think with that asset class having had a total return in our Global Bond fund of somewhere around 10% a year for the last decade you know has shown that it has performed very well in a very difficult market. So I think it’s somewhat of a new market in many ways that hasn’t existed. So it’s a new asset class for a lot retail investors. And that’s the same even for institutional and I still think, it’s going to continue to grow.
Roger Freeman – Barclays Capital: Okay. And just – as looking at your Muni flows those continue to pick up sequentially now three-quarters in a row in positive territory. Do you see that as a recipient of the flight from money market funds looking for yield?
Gregory E. Johnson: So I mean that’s exactly right. I think the, the rush to money funds, where the world was ending and now people feel a little bit more comfortable around systemic risk and with the yields at 1% and under in a lot of the money funds, it’s the natural first step and that’s probably why you are not seeing a big move in the equity markets confidence to go into short duration bond funds and our U.S. Government Fund continues to do very well in this kind of environment. It is all short duration taxable and tax-frees with some of the problems in that marketplace, earlier had very attractive relative yields and still very attractive relative yield. So I think that trend should continue.
Roger Freeman – Barclays Capital: Okay, great. Thanks.
Operator: Your next question comes from the line of Cynthia Mayer with Bank of America.
Cynthia Mayer – Bank of America: Hi thanks. I was just wondering if you could give a little color and your thinking behind not granting merit raises to manager level and above. And also get a sense of what impact that has, how many folks is that how many dollars does that free up? And do you feel like that would make you vulnerable at all to poaching or alternatively if markets improve a lot from here, would you somehow reinstate those next year?
Kenneth A. Lewis: All right Cynthia, this is Ken. I will take that one. So, obviously a lot of difficult decisions are made when you are trying to manage your expense basis in a market that we have and certainly that was one of them. And in the debate all the points you brought up were considered and are definitely valid. I think, if that decision was made today, as with all the spending, if the markets recovers sustainable, we’de obviously revisit that. Doesn’t even have to wait till next year, we can revisit at anytime. But, I guess looking back on the bigger picture of compensation, certainly compensation will increase or decrease with the profit of the company. And I think, in our prepared remarks I said, if the markets are flat. What I mean by flat is average assets under management, which drives revenue. And so if you look at average assets under management, this quarter is 488 were already starting at 523 for next year. So it’s just based on that, you expect the variable component of compensation to increase. And I think as people obviously, are in this business and the key focus of this organization, we are going to focus on reinstating compensation levels and making sure they are competitive going forward.
Gregory E Johnson: I would just add that we take a hard look at aspects of compensation and whether it’s a bonus performance, share grants, salary. And, I think part of that decision around manager and above is that we’re looking at the benchmarking our salary some of them were relatively high in the organization and while that’s due to having people that have been with the firm a long time and if that merit increases every year. And again in a general terms, we didn’t feel like there is a lot of pressure on salaries. There is pressure on bonus levels and that’s something that we’ve been very focused on here with the rebound of the market. And I think that’s where we are more concerned right now and getting that right in this environment when things have come back fairly quickly. And that’s why you saw some movement in the comp line for the quarter to enhance the pool a little bit. But I think that’s, that’s more important than what we do around the salaries for managers and above.
Cynthia Mayer – Bank of America: Great. And if I could just follow-up, how many people were you talking about managers and above?
Gregory E Johnson: I am sorry Cynthia I don’t have that number.
Cynthia Mayer – Bank of America: Okay. All right. Thanks a lot.
Operator: Your next question comes from the line of Craig Siegenthaler with Credit Suisse.
Craig Siegenthaler – Credit Suisse: It looks like most of my questions were already asked, except I just had a follow up on institutional fixed-income flows. I'm wondering, if there is a difference between you and some of your competitors in that. You're incremental buyer of credit assets really outside the U.S. is in the emerging market side mainly India and applied your competitors are distributing fixed income assets to Western Europe. I mean, do you think a driver could be your heavier emerging market focus?
Gregory E Johnson: I think that could be, and I think that’s probably correct around, that we have not had a big presence in Europe with fixed income and have had a stronger presence with the lot of the sovereign wealth and as well as the relationships we have in Asia. So maybe those two are two separate markets and really what’s happened last quarter. So I think that’s a fair comment.
Craig Siegenthaler – Credit Suisse:
Gregory E Johnson: As revenues increases with AUM it will be fair to assume, this is a reasonable run rate and probably I agree there could be even a modest uptick in some of the lines.
Craig Siegenthaler – Credit Suisse: All right, great. Thanks for taking my questions.
Operator: Your next question comes from Michael Sarcone with Sandler O'Neill.
Michael Sarcone – Sandler O'Neill: Hey guys, I am calling on behalf of Michael Kim. I just had one question. At some point you think that at least some of the money that has gone into bond funds will find it’s way back into equity and you’ve obviously done a very good job capturing share on the fixed-income side. But how confident are you that you can retain these assets once investors start reallocating in favor of equity funds?
Gregory E. Johnson: Well, I think that is the concern and one that right now, in the United States we have a equity campaign and where we are going out to, the very strong relationships we have that are more fixed income oriented and really trying to cross-sell our equity funds. And we do have a very strong performance in many of our growth funds today, and it’s really question of getting the message out. So, I think we recognize that the market has been somewhat perfect for us over the last quarter as far as the asset classes and the flows. And we want to make sure that we are doing everything we can to capture when things move back into equities. But we do feel like we got the funds, we got the records and it’s just a question of getting, making sure we get that heard and visible to the advisers.
Michael Sarcone – Sandler O'Neill: All right. Thank you.
Operator: Your next question comes from the line of Marc Irizarry with Goldman Sachs.
Marc Irizarry – Goldman Sachs: Great, thanks. Greg, just in terms of capturing and move back to equities, on the retail side it sounds like you are ready to prime the pump a little bit and maybe get gross sales going by advertising a little more than you have perhaps. Is this something that you are seeing in the environment or you just making the connection here between what's going on with your funds, and your performance, and the strategies that this is the right time. And then I have a follow-up on the institutional side of that as well?
Gregory E. Johnson: Well, I think it’s hard to know exactly when things will turnaround, but I mean you have had a big move in the market, performance numbers are better. And I think fears a little bit less everyday as far as the retail investors’ appetite. We are not going to stop telling our story around Munis and Global Bonds and the other areas, but we do want to make sure that, that’s not the only story we’re telling right now. And so we are, it’s very much built into our sales process right now to get the message around equities out there and it is not – remember, the flows are still fairly strong, it’s just a redemptions I think are still higher than we like to see. So the awareness is out there, these are not small funds or big funds and they do have long-term record. So that’s important as well for us. But I just think that if everyday the market hangs in, we are closer and closer to seeing more normalized flows in asset allocation in our business.
Marc Irizarry – Goldman Sachs: Okay. And then just on the institutional side, can you comment a little bit on the move towards passive and maybe how international versus U.S. only strategies would maybe fair and sort of the move towards passive if you are even detecting one?
Gregory E. Johnson: Well I think the move towards passive is obvious, I mean it’s significant especially in categories like large cap growth in the U.S. and you are seeing a lot more activity there. For us again, having the larger asset classes in areas that really don’t lend themselves to a passive competitor, I think somewhat shield us from that trend. And global equities, emerging markets all fit that bill, municipals, where we don’t today see the cannibalization of passive investing. And it also I think affects how you look at the universe and the world from an M&A standpoint and have to be careful about the traditional – if an active managers in the traditional space, today is that going to be a growth space versus passive and that’s something that again we are very careful about.
Marc Irizarry – Goldman Sachs: Okay. Great and then in your fixed income taxable flow trends, if you look at the redemption rates, it looks like they slowed somewhat. Which would – I infer from that, the stickiness of the assets there is improving at least slightly, do you think that something that’s characteristic of the larger institutional mix there or are we reading into that a little too much.
Gregory E. Johnson: No, I think that’s probably true but you are right. I mean if you have a big institutional account going that will somewhat skew the numbers. But overall, there is still a big appetite for fixed-income and I think that unless rates spike up a bit, redemption should stay down, but I think flows will also continue to accelerate. There is a lot of money still sitting on the sidelines that’s moving into the markets everyday there.
Marc Irizarry – Goldman Sachs: Okay great thanks.
Operator: Your next question comes from the line of Douglas Sipkin with Pali.
Douglas Sipkin – Pali Research: Thank you and good afternoon. Couple of questions and I apologize if this is said already. I think I might have got cut off for a second but I'm surprised to see sort of the headcount drop a little bit again. Can you provide a little bit of color what that sort would have been look like going forward, specially considering obviously the move up in the earnings in the AUM?
Kenneth A. Lewis: This is Ken. We did talk a little bit on that specifically about headcount but we talked about our expense outlook. And at this point we’ve really don’t have plans to add headcount significantly. The drop this quarter was normal business there was nothing in this quarter unusual there may have been some residuals from the staff reductions we had before, in another words, things that took longer to reduce staff that might have come through this quarter. But nothing really significant that would be any sort of a trend and then looking forward, like I said, we have no plans just significantly add to headcount.
Douglas Sipkin – Pali Research: Were there any sort of lagging severance expenses in the quarter or that ended last quarter?
Kenneth A. Lewis: I think there was some but not significant.
Douglas Sipkin – Pali Research: Okay. And then just following up on the marketing expense. First point, I guess is – or first question I should say is – how much of this is like near term discretionary, meaning let’s just say hopefully not, but let’s just say the markets reverse pretty sharply and people get scared again, I mean how quickly can you turn off the marketing spending if you had to?
Kenneth A. Lewis: No, I think when it comes to things like, where we are opportunistic like TV ads and some of the big-ticket items, we can shut that off pretty quickly. And then the other component of it, which is a driver is that, if the market comes backs in as we see reduced asset levels and reduced sales level, a lot of the promotional expenses, the marketing support payments will drop as well and those are in that line as well.
Douglas Sipkin – Pali Research: It is interesting though I saw you guys ramped because one of your competitors, marketing was much slower, I mean and you mentioned there is some good spots, was it that you guys saw competition easing in certain places and you jumped on it? Or was it something unique to Franklin’s franchise that you were able to take advantage off.
Kenneth A. Lewis: I think, we felt with the performance trends, we felt like we had a good story to tell. And that had been the scene for the probably the last three quarters. And then the other part that you described, there’s probably some good spots as competitors pulled back that we were able to take advantage of.
Douglas Sipkin – Pali Research: Okay, great. And then just final, I know it’s been hit on a little bit about of the fixed income. From reading correctly, I guess, should I be thinking this way, if the markets continue to strengthen on the equity side, I mean do you guys envision may be the pace of fixed-income slowing down. Obviously, no one expected to maintain this pace, but is that sort of part of the reason why you guys are getting out there marketing now more so than you have been or do you feel like fixed-income continue to roll on the positive side even if the equity markets remains fairly healthy?
Kenneth A. Lewis: Yes, I think the bigger question is and we all know what we know today is going to be different from what we know in three to six months around what rates are doing and inflation and the dollar and also those factors are really going to affect what fixed income. I mean, if the markets are quiet and we don’t really have an inflation scare then, then I think you will see very strong fixed-income flows. I mean as I said before, equities will come back at some point and if the market’s holding here, I think we are getting near that stage where we should start to see the retail investor moving back. So the answer is we think for what we know today, we are going to see more of that same right now. That’s fixed-income Global Bonds and shorter duration taxable kind of flows. I think that’s consistent with the mindset of the retail investor, but everyday they get a little bit closer to more equities.
Douglas Sipkin – Pali Research: Great. Thank you.
Operator: Your final question comes from the line of Ken Worthington with JPMorgan.
Kenneth Worthington – JPMorgan: Hi, good afternoon. First in terms of operating margins can you help us size the operating margins in your U.S. businesses versus your businesses overseas? How did the two compare?
Gregory E. Johnson: Well, it is a little bit problematic because I wouldn’t say that we run a profitability models by geography it’s more of the distribution line, where you have your all in cost. And in general so you might have, you might tend to have a little bit less profitable margin in the U.S. but not by much when you allocate all the support functions to the international offices.
Kenneth Worthington – JPMorgan: Okay. So higher overseas, but not that much higher?
Unidentified Company Representative: Yes.
Kenneth Worthington – JPMorgan: Okay. And then on investment income just to get it – I’d love to just sort of size the kind of the base rate of investment income, you would expect to generate over the next year, if the equity markets are flat and the rate environment is flat just given that size of trading assets and available for sale. How much income should that really kick off each year?
Gregory E. Johnson: If you are just talking about cash earnings, as you know yields are in historic lows. So that has come down since last year or so. Of the total if it’s this quarter the total on other income was about 87 million, like maybe 20% of that is cash earnings.
Kenneth Worthington – JPMorgan: Okay. Okay, great. Thank you very much.
Operator: And at this time I would like to turn the call back to management for closing remarks.
Gregory E. Johnson: Just want to thank everyone again for participating on our call. And we look forward to speaking next quarter. Thank you.
Operator: Ladies and gentlemen this will conclude today’s conference call. You may now disconnect.